Operator: Good morning, ladies and gentlemen. Welcome to Petrobras Conference call with Analysts and Investors to present the results of the Fourth Quarter and the Full Year of 2012. We would like to inform you that all participants will be in listen-only mode during the presentation with simultaneous interpretation into English. After the presentation, we will have a question-and-answer session both in Portuguese and in English, and further instructions will be given. (Operator Instructions) This call is being recorded. Today with us, we have Ms. Maria das Gracas Silva Foster, CEO of Petrobras; Mr. Almir Guilherme Barbassa, CFO and IRO; Mr. Guilherme de Oliveira Estrella, Exploration and Production Officer; Mr. Jose Carlos Cosenza, Downstream Officer; and Mr. Jose Alcides Santoro Martins, Gas and Energy Officer and other executives of the company. Before we start, we will be listening to Mr. Theodore Helms, Investor Relations Manager. Mr. Helms, you may proceed.
Theodore M. Helms: Good morning, everyone. We will start another call of Petrobras with analysts and investors to present the result of our fourth quarter and full year of 2012 results. This call is being broadcast simultaneously on the Internet at www.petrobras.com.br/ri and this can be followed on the webcast as well both in Portuguese to 1011409 or 31938000. In order to follow the conference in English, you can access www.petrobras.com.br/ri/en or 1 (516) 3001006. Before we proceed, I would like to remind you that this call is being recorded, and I would like to draw your special attention to Slide No 2, which has a disclaimer to investors and analysts. The words believe and expect and other similar words regarding projected and targets are forecast based on the expectation of the Company’s executives regarding the future of Petrobras. And lastly, we would like to inform you that we have already disclosed our results both in reals and in dollars, both according to the IFRS. However, in the conference today we’ll be discussing the figures in reals. I would like to give the floor to our CEO, Maria das Gracas Silva Foster, who together with Almir Barbassa will be presenting the results of Petrobras and the main highlights and events occurred during the fourth quarter and the year of 2012. Afterwards, we will be answering any questions that you might have. Please Mr. Foster.
Maria das Gracas Silva Foster: Ladies and gentlemen, some important figures which are the highlights for 2012. Net income of our company R$21.18 billion, this was the lowest result obtained after 2005. In 2005, the result was R$23.7 billion. This result can be explained by the increase in imports of oil products and the reduction of our commercialization margins justified by the devaluation of the currency with impact on our financial results and also and expresses the impact on our operational cost for the company. We have an increase of extraordinary expenses with the write-off of dry holes, which we now forecast for 2011 to happen in 2012. In 2012 we had expressed multiple significant losses in legal claims, the additional claims and a lower production in 2012. About the lower production in 2012, we reached our target which was scheduled for 22,000 barrels per day, more or less 2%. We reached the lower part of the range of 1.98 barrels per day. Although outside the center of the target, we saw a significant improvement in the planning of the target. We received less 14,000 barrels per day from [projects]. We had products regarding in [seabed] in the project field and it didn’t go back to production, and this is the reason why we had 14,000 less barrels per day from Baleia Azul Petrobras which is less 28,000 barrels per day, driven especially by the operational difficulties already forecasted by us at the beginning of 2012, and this was the reason for us to have defined 22,000 barrels per day more or less 2%. This was the first time that we introduced this lower and upper limit and it was exactly because of the lack of accuracy regarding 2012 about the behavior of our production unit. Cid. Anchieta was started up and this already has a production of 78,000 per day which was a level in December, and we had a postponement of Cid. Anchiet Itajaí, Baúna and Piracaba 31% Petrobras and our forecast was that, production should be started in October 2012, and we are ready to start up at any time now in the next few days. And we had a significant loss of time because of fire in the machine house in the yard in Singapore with a construction of Odebrecht (inaudible). And this is not under the control of our company, Petrobras. We had a growing production in the pre-salt of our production 5% in 2011 coming from pre-salt ended 2012 roughly 7% ended December 2012 we have a production of 232,000 million barrels per day in December. We had a production of 231,000 barrels per day for Petrobras corresponding to 10.5% of our production in December. In 2012, we received 15 rigs for deepwater totaling 40 drilling rigs. The capacity that we had in 2012 and that we will have in 2013 is much higher than our drilling campaign. In pre-salt alone, we have 16 drilling, and more than we need to comprise with our drilling of well campaign for 2013, our proven reserves 15.24 barrels of oil equivalent. After doing quite a lot of work in this regard, we confirm the slight growth of our proven reserves. The replacement ratio 103.3%, but in the first year, we had a consecutive fees of our company higher than 100%. So our reserve is 18.6 years for Brazil enterprise. Regarding downstream, we had three increases in diesel price and three for gasoline in the last eight months, three increases of the three month totaling diesel it is three increases 16.1% and then gasoline 14.9%. We had a production of oil product that was expensive, 5% more that 2011, the volume of sale of oil products in Brazil. Two points, 285,000 barrels per day, plus 7% year-on-year. And some daily record as well in refining over the year due to the higher utilization of the operational capacity of our refineries, and also the higher degree of flexibility that we have in our refineries once they were organized over the last three years. We built – and today we had refining capacity of (inaudible). And the restructuring program of our company as well, because we need to carryout the developing the company. As we already see the first results, with the divestments made and the growth is coming into the company or at the end of the first half. So far 8% increase in the fiscal target, this was the biggest fiscal realization that we had in our company that we posted in the last 10 years and we also realized the total investments forecast which means a higher degree of certainty in the generation of revenues for our company. Production in Brazil 2012 was $1.98 million per day rating the lowest part of our target. So we work very strongly on our planning, so that we could work as close as possible to this known reality, the reality known by our executive committee. Our production of oil and gas and those of our equivalent has $2.85 of our statement and I would like to stress the production of natural gas in Brazil and it was extremely important to growth because out of the additional 6% of gas from our E&P area, we were able to import less in the last quarter of the year. As I said before, 2.02 million barrels per day is center of the target as we operated. And the negative figures were due to our loss of production, due to unscheduled stoppages still higher than we forecast, but still according to our project. In order to overcome the problem, the operational problems, we started in April 2012 with the program first and we saw that decision on the part of the company was right to invest in 2012, $801 million into recovery of compensating operating center and our operating efficiency grew 11% between April and December 2012. We were able to recover production of 25,000 barrels per day, as a net present value in this operation and this year was $512 million. On the next slide, Proven Reserves reached 16.4 barrels of oil equivalent, 16.7 billion in Brazil, 0.5 billion barrels of oil equivalent. In Brazil, ours was higher than the industry and I would like to remind you that, in 2012, we still communicate through the AMC with 21 discoveries in Brazil, and another four important one in the Petrobras price area and we would like to set once these production into fee. Once again our success rates in 2012 were outstanding 64% considering on-shore and off-shore in the pre-south 82% success rate. On the next slide, our focus also being increase of diesel and gasoline production in Brazil, so that we could avoid as much as possible importing oil, diesel and gasoline. Our throughput in our refining area was 82,000 barrels per day and with the higher use of oil in Brazil. The increase in diesel production in Brazil, as I said reduced import of oil products. To the right of the slide, I would like to draw your attention to the main unit implemented in 2012. So we have the investment mix and the units were concluded, and they were able to give us the possibility of refining with a very high flexibility. Therefore, we were able to increase our production of refined products and even more to the flexibility and increase in the production of diesel and gasoline. We had a growth here of 7% of 154,000 barrels per day of oil products and of these 154,000, 138,000 corresponded to diesel and gasoline. So we would like to say that gas grew by 5%. So an oil company that invested refining, it is a very important to see domestic growth and certainly important to level our prices to international prices. As I said in the last eight months, we saw three price increases totaling 16% for diesel and gasoline, 14.9%. However, they were not enough to eliminate the gap between the domestic and international prices as we show on this slide. We think we have our losses vis-à-vis the prices charged by the international markets. The fact is that this difference because you can see that the chart shows the prices in reals, so this gap was marked not because of the brand, because of the variation was practically zero over the year, but mainly because of the 17% increase in the price of oil products in real comparing with international prices and transferring them to real, there was an increase in rate by 17% that is to say. These increases did not bridge the gap of prices between the domestic and the international market, and totally they will be breaking in two just in the case of company but the graph improvement was not enough for us to have a quality between the domestic and international prices in 2012. We see here 12% and here I would like to highlight 112% in gasoline and 16% in diesel. Together with that, we saw a reduction in imports of oil products especially fuel oil due to the higher generation of thermal energy using this kind of fuel oil. Offshore went down due to the lower production of oil and the increase in throughput. So we had a commercial deficit of oil and byproducts of 231,000 barrels per day, practically twice the deficit that we saw in 2011. On the next slide, we see that demand for natural gas was surprisingly high, 22% higher than in 2011 and the average of the year was 74.5%. And the highlight is for the thermometric area that more than doubled in demand for natural gas for the first time. We’ve had in Brazil a reversal of the consumption curve with more gas being consumed in this segment. Regardless of the surprise that we had, we were surprised with the higher consumption of natural gas and we had acquisition base in 2012, I would like to mention that if we had not imported the gas polarities would have been overwhelming and would have destroyed value to Petrobras. Investments in 2012, we had R$84.1 billion in investments, 16% higher than in 2011 and we tracked very closely all our projects, all our efforts into construction, be it E&P, be it in supply or in downstream or gas and energy. A 104.8% physical realization which is very good because it means that our assets will be as planned, ready to generate the important revenues for the health of our test center, 110% realization at the financial part and regardless of the lack of accuracy in measurements, we have some cost increase. However, we also had a critical realization that was higher of the overhead. So we placed – find a lot of pressure on exploration and production so that we may comprised with the deadlines for our projects. Regarding the net result, we had a variation of the results of R$21.18 billion. As I said before in 2012, in exploration and production, we had a 4.8 billion as a positive result for this year of 2012 when compared to 2011. E&P was favored by the devaluation of the foreign exchange the market to 17% and now the other hand there was an increase in the government stake of 14% as higher listing costs 28%, 10% of the 28% – yeah, 28% was the total listing cost and 18% related to the normal E&P activities plus 10% related to the cool air higher dry hole expenses more write-off R$7 billion of dry holes were provided for 2012. And I would like to mention that the wells that we are drilling now along that bring about a very high premium in oil production, but when they dried they promote higher expenses, because they are more expensive wells in 2013. Our forecast for dry holes is around R$6 billion. This is the estimate for dry wells or dry holes for 2013, and we have already seen significant changes, because we have already approved the Regulatory Policy of Petrobras, so that we may manage the dry hole risk at the company, because these are much more expensive wells than the one that we had been drilling three or four years ago. In gas and power, we must subtract from 3.1, approximately one non-recurring billion which is fiscal private amounting to 928 million, that is to say almost R$1 billion that’s happened in 2011 then that did happen in 2012. This one increasing the supply of natural gas by 18% that favored to gas and power area domestic. And what happened was that during eight months of this year, seven months of this year, we saw a large generation of results, but not necessarily relevant, a very relevant thing in the last quarter of 2012. Due to the slight recovery in Brazil it went up very steeply, because in the dry period, energy is more extensive. So we practically had a bounce between one and the other, so because the slight one was very positive. In 2012, we’ve had two increases – price increases in diesel and gasoline, but due to the exchange rate of valuation, the bridge was even bigger because of the international prices and we had a loss of R$22.9 billion in Gulf Stream in the international area with a reduction of R$600 million in our results, mainly in the impairment generated losses R$487 million of impairment generated losses in 2012 mainly is in the (inaudible) refinery scheduled to maintenance in the ARPU and discuss our projection of the cascade inside dispute, we have started to ramp up and we have the cost of the – therefore recharged when projection is always starting. So this is a result for the year 2012. And now, I would like to give the floor to our CFO.
Almir Guilherme Barbassa: Thank you very much, Mr. Guido. And now let us analyze our operating income. When in 2011 we had R$45.4 billion and in 2012, R$32.4 billion and the development was recoverably growth of the sales revenue, which incurred in 2012 8% of the demand of oil products from one year to the next and especially gasoline which grew 17%. And this volume of sales came with the higher price and we had in November of 20111 an adjustment and then in June of 2012 – in the July 2012. So we had three adjustments which impacted the through bottom in the country. But we also had better price of exports in June to the evaluation and on converting these revenues that this improved our revenue total. Due to other factors, COGS also increased reducing our operating income. And this was the company’s greater sales volume in the domestic market which has a slight import – the additional amount although our refining area has been reduced because of the production of oil products. The markets grew beyond the proportion. We had to import more products and these came because of the exchange evaluation at a higher price which led to the import of gasoline and oil prices – had to increase in cost. And we also have this special participation due to the exchanged evaluation. We had this cost increase. And also in the refining area because of all those units that have been already mentioned and shown, as production units in the start-up of these units, we also had a greatest depreciation of this equipment. Therefore, COGS grew. We had a slight increase in SG&A expenses and the main cause was an increase of salaries because of our collective bargaining processes and also our head count was increased because of greater activities in the company and also due to the technical services which were hired. We had other expenses, particularly the write-off of dry holes which has already been explained which occurred during this period. Next slide, when we compare the net income from 2011 to 2012, there was a direct drop of operational of $13 billion. This was the greatest impact on the net income of the year. But this was being aided, but not really helped, but in fact reduced by $R3.800 billion by the interest results, the financial result which comes from 17% of the Real depreciation which occurred in the period, which effected from the net debt nominated with dollar, which grew even more in this year 2012. Another relevant point is income tax. The income tax was lower and this increased the net income because of the increased total net income. Next slide, comparing the search with the fourth quarter of 2012, we had a reduction of the sales income for sales revenue. As we had higher demand, the revenue occurred due to higher prices also of energy and increased demand. Demand grew in the fourth quarter 7%. GAAP increased 20%, and demand and fuel oil 38%. But all of this would led to the increase of demand and sales and therefore revenue was offset and still reduced by exports, which dropped because of greater throughput in the country. And besides having a certain volume for export at throughput, this is not yet recognized as the revenue for the period. And we also have the reduction of the trading carried out aboard, which gives us a smaller margin than normal. But when you add the sales revenue, you will have the total. And in the COGS, we have an increase of the product because of the market supply. The market grew 4% from one quarter to the next. And this growth as has already been explained was due to imports particularly of gasoline and of the liquefied natural gas, which has grown as well. And we also had another expenses in view of the write-off of dry holes and the sub-commercial ones. We have the recovery of assets internationally. We had a reduction of the income in the period of the fourth quarter of R$2.900 million. Next slide, the net income of the third quarter compared to the fourth, we have the effect of the operating income already stated and which was improved by the financial results because of the sales of the federal government bills. But we have been eroding for some years now and would appreciate the net value. And now with the realization of the sale, these securities were back to guarantee of our pension program, which had improved. Therefore, these securities were witnessed and recognized, they were realized and witnessed in our balance sheet. And also the relevant impact on income tax and social contribution on net income occurred through the declaration in this quarter of a larger volume than the former quarter of interest on our own capital, this have not been declared before. And in this quarter then, there was a larger amount and this is declared giving us R$2.1 billion as a result and reduction in tax to be paid. On our next slide, we have our leverage. Our debt long-term, the company’s long term debt grew from R$155 billion to R$196 billion and this growth increased due to the debt to finance our investment plan, but also due to the exchange depreciation, and this adds to our debt when measured in this currency. And plus we had an increase of leverage, the net debt over net capitalization went from 28% to 30% and net debt over EBITDA went from R$2.42 billion to R$2.77 billion. This is a period which we knew will be difficult period for the company where production is not growing, but during which we are investing steadily to deliver on our projects. And thus we believe that we will reverse this situation in time. Next slide, dividends, the Board approved at our General Meeting the proposal of paying R$0.46 for the common shares and R$0.96 for the preferred stock. And this is due to the fact that these two different categories of assets of the company follow different rules regarding the payments and dividends. 25% of the adjusted net income applies to both, but the preferred shares do have a difference; the 25% or 3% of the shareholders equity which correspond to that particular asset or 5% of the capital stock. In this case, this year, the 3% on shareholders equity is what was applied in such a way that we are paying the minimum for the preferred stock and for the common, we applied the R$0.47 partly which was paid last year and a part to be paid this year. This was – there were both paid at the beginning of the first half of last year as interest on our own capital, the value of R$0.20 per share and this will be reduced now to payoff the rest this year if this should be approved by the General Meeting. And now, I would like to ask our CEO to take the floor again. Thank you very much.
Maria das Gracas Silva Foster: Well, I wish to leave you, ladies and gentlemen, some messages and some more information. In the first half of 2013, it will be very much more difficult than 2012 was. 2012 was a very good year and especially because of the methods of our production. It was a tremendous challenge in the company to keep within our target. We certainly did not give up all the necessary maintenance of our production units, and everything that we did was to maintain obviously operating security and 2013 will be even more difficult and this first half of the year, particularly. However, as we go through 2013 and in the first half of the year, we know that these are the most difficult moments of the company, because we are investing so much in this company and in the very near future, I will be showing you this and then we’ll go on to questions. We did a lot in our management this year continuing improvements in the management, which was already started at previous years. In 2012, we carried out or we did a lot reaching out to all the different players of the company, all the way down – right down to the employees who will work on the rigs and this to us is most important. The company cannot continue to grow as it was before without the profound – the [pro-asset] also is extremely necessary. We have to do as much as possible in our production and these programs. It’s essential for company which grows as much as Petrobras. All of this is very important and another – is the [infralog] which is the maximum use of logistic capacities in the yield working with all our companies of the Petrobras Group, so that they can avoid the – not using the synergy among the assets that we are hedging – is building new assets. So I’m talking about Petrobras, we have a distribution oriented center. Regarding investments, our capital investment for 2013 is R$97.7 billion, and what does this R$97.7 billion means? In 2012, it was R$84.1 billion. On top of this investments, we adjusted the installments in dollars, also they are about in dollars which are about half of our investment, from R$1.73 billion to R$2 billion, and the other half in national currency adjusted by the GPM, so R$84.1 billion which appear in this R$97.7 million. If we did not have the exchange variation as the GPM was zero, we would have an investment for 2013 of R$89 billion and not $R$97.7 billion. This difference of R$84 billion to R$89.5 billion comes from additional investments which we are carrying out within our same project, but not new projects. The fact is that R$97.7 billion is to develop the project that are already being implemented. For 2013, we don’t have any new project, we have our projects already at a very high maturity level. At our refineries, we have more than 70% of physical realized activity and under control, so we will be able to have the first refinery trade in the first half of 2013. We have a huge amount of activities in execution, and it is this that justifies 85% of all the investment. There are no new projects in due regarding refining and the oil products market. (inaudible) such for the convergence with international prices, this is our routine, this is our daily activity, such to have convergence of these prices. We expect the growth of 4% of the oil products market of this year, and we have a production of the refineries although, we do have schedules maintenance as well. We expect greater production of diesel and greater participation of national oil. As I have said looking to the right of the slide, our production this year, this would be a difficult year of the production of oil. Our average production will be the same level of 2012, 2022, 2.002 million barrels, I believe it will be closer to the positive or negative I’d say, it was two negative. We will not be able to have any additional production, because physically it’s just not possible, it is not possible to do. We will begin to grow our production after the second half of this year 2013, and then I’d like to call your attention to the six rigs, six platforms that we will be working throughout 2013 and ramping up. The FPSO Cidade de Sao Paulo, which started up in January 2013, we have our own (inaudible) FPSO Cidade Anchieta which will be starting up at any moment, we will announce that to the market. Everything is ready, it’s all interconnected. We are just expecting the authorization from the national agency, and we will then be starting up our production in the next few hours maybe. The Lula pilots Cidade Paraty will be starting our production in May. (inaudible) with P63 in July 2013 and the P61 also. Roncador Module 3 P51 September 2013 and one more, which is the P58 which started up in January 14. So this is something very tangible. It’s not a question of bidding process of talking of discussing whether it’s national content or it is national content, it is something very tangible, and we have been following very closely the progress of each one of these units. So it is these seven units, not six, but these seven new platforms, which will give us a significant increase and the continuation of the production of Petrobras, this is material and a greater degree of physical realization. So ladies and gentlemen, the production has been shown to you. The investments of the company, which we are making are considerable and prices and convergence with international prices with those practiced in Brazil according to our policy, which is one of medium long-term is something, which we will striving for and we are starting new moments in our company. We will be increasing our production, this was written on the board from the second half of 2013. We are convinced that we have the company under control in our hands. Thank you very much.
Marcus Sequeira – Deutsche Bank: Good morning. Thank you for your call. I have two questions. First has to do with refineries. We see that the use has been high, almost 12%. I would like to know, what about the demand? Will it continue to go up in 2013? I know you said a growth of 4%, but what if the demand is higher? And are you concerned with the capacity of the logistic of imports and is there any bottleneck for the delivery of refined products in Brazil? And second question, I have understood your price policy and how things occur in Brazil. But how can one consolidate the price policy, which up-to-date has been worse than expected? And there is still a gap or mismatch regarding the international prices. So how to consolidate this policy with an indebted balance sheet and cash flow, which is more negative with this increase of CapEx. Is there a possibility of perhaps during the year, the review of the CapEx in case the international prices are still well above the national and over domestic prices?
Maria das Gracas Silva Foster: Well, thank you for your questions. Regarding our logistic capacity, I mentioned this project in logistic infrastructure. When we integrated the demand with production and the demand of downstream and the distributors particularly in our own distributor, we have a lot work to do. First of all, to avoid the building of new assets that make them best of the synergy to make use of all the companies which are all ready to start using the assets which we already have. And most of all reduce the costs, probably focuses on the use of assets of the logistic infrastructure and we have another plan which read more constant for the long future. There might be some additional investment in infrastructure, but most of all cost reduction. Regarding the pricing policy, I’m giving you just quick answers. We can talk later some more. But regarding the price policy, we have had three price increases and intense discussion with the majority shareholder and with the Board; so that we reached an agreement regarding the situation of the company and the portfolio of different products and different opportunities and we arrived at these agreements, 17%. Well, all of this made it difficult for us to achieve better increases. This is an ongoing discussion. CapEx of a company as large as Petrobras, you cannot reduce it just from one moment to the other. You have new projects. You have investments that you have to continue. You have to generate revenue in refining, in natural gas. So this goes on all the time showing the Board members our situation in terms of the good projects that we must get on with the good prospects. Petrobras has a basic essential role in the growth from the maintenance and the creation of jobs in Brazil. Brazil needs new jobs to grow. We have already a relevant participation in the growth of the economy. Therefore, it’s ongoing work that we must do to show major shareholder how much we have to review price and raising gradually during the year. But there is no forecast of cutting the CapEx.
Operator: Mr. Caio Carvalhal of JP Morgan has a question.
Caio Carvalhal – JP Morgan: Good morning. I have two questions. The first has to do with dividend policy, perhaps along with this difference between the mandatory minimum to the grade has already occurred last year when the company, although it could have been different, decided to pay the same to both. This year, it seems to be continuing in the same. And you will be paying the paying the mandatory minimum to each, common and preferred. Will there be any change or are you going to change for some reason? Or if there should be a difference? Is there a prospect which will you adopt, not the policy because that’s been decided, perhaps the strategy of paying the same to each or whether the strategy of just paying the minimum will be maintained? The second question is for all of you. How is the company considering the question of leverage vis-à-vis the limit of two and half times of tax because I would think of production, the guidance; is it that production will not improve this year? But the CapEx is 16 times higher. So the expectation is that the cost reduction program, does it take this into consideration? And this discount continues to exist. So the cost reductions, when it offset this difference, will there be an increase of leverage now, during 2013 or not? Will (inaudible) worsen this year and will we be going back to the level of two and a half as from 2014?
Unidentified Company Representative: I will answer you the second question and Barbassa will answer the first. Regarding your second question, this question does not solve by itself. The (inaudible) is something that the company needs. If you have a cost reduction, I’m talking about operating costs. I’m talking about cutting – I’m not talking about cutting CapEx. Operating cost is to do the same thing better, but at a lower cost. We will be more besides the [break up]. Therefore we have an ongoing search for price convergence. Predictability is very important to Petrobras because it is this predictability which will lead to the fact that as from 2014, we will once again depend on the company’s cash and good financial and economic indicators. And so we can evaluate the possibility of bringing in new projects to the Company’s portfolio. Meanwhile, it’s not possible and other projects being evaluated regarding whether they are economic or not or there is no losses for the company because the other projects have not been included. But the break up is not a must. We will be increasing our production because we have to. But it is not possible now. We said at the beginning of March/April 2012 that the production will be as the same 2012 into ‘13. So (inaudible) operating efficiency and the incessant search for convergence of price and all of this will be increase of production, will effectively lead to fact that this company will rise to following to another level at the end of 2013 with good results of 2014, 2015, and 2016, it’s regarding the shares.
Almir Guilherme Barbassa: The dividend policy of the company will continue, we have always announced the difference between the two classes of shares and the payouts of minimum dividends. What occurred in 2011 was within this policy. The Board recommended this and it was approved by the general meeting to have an identical payout of dividends to the two types of asset. But it is widely know and disclose that the preferred shares do have the possibility of having a greater payout because the parameters are different from the ordinary stock. Therefore, this will continue to be our policy.
Caio Carvalhal – JP Morgan: Thank you very much.
Operator: Mrs. Paula Kovarsky from Itaú – BBA will ask a question.
Paula Kovarsky – Itaú – BBA: I have two questions. The first one and this is a reoccurring factory here because we always go back to that about (inaudible). But it’s still a subject that brings a lot of concern to our minds. With a very quick map here, you said that $831 million were invested in this program and that it would have offset $47,000, there is pretty drop in 2012. Then $48 per barrel, if we can imagine that, this is the offset for more time like, five years time. We would be speaking about something lower than that. But in spite of that, you’re talking about 10 per barrel. But it is still much higher than the S&P, the usual S&P of Petrobras. We’re trying to understand how we should think about this goes from now on. Is it only the R$6 billion that you have said to offset depletion or you had more surprises than it is tougher to reduce the drop even further. So maybe you could give us an idea of what we could expect from the viewpoint of depletion for 2013 and understand that even with almost 500,000 barrels per day additional, your production is still flat with a potential downside. So this is the first question. And the second question has to do with the dry holes. You said R$6 billion for 2013, which is even higher than 2012. I would like to understand if this is a cost level that will stay forever or whether it has to do with some housekeeping work that you’re still doing vis-à-vis the previous E&P investments made, so what should…
Unidentified Company Representative: I will answer the second question first. In 2012, we had R$7.058 billion in dry holes, or sub-commercial wells. What I said was that this volume of resources were not estimated, what I said for 2013 is that, we have estimated around R$6 billion for dry holes for 2013.
Paula Kovarsky – Itaú – BBA: Yes, but it is higher than what we saw before 2011. So my question is whether this is a new level for 2013, because not all dry holes for 2013 started in 2013.
Unidentified Company Representative: Some of them come from previous years and what we did was to approve in our executive committee meeting, the exploratory policy of Petrobras in terms of not getting into exploratory activity without quantifying the risk first – the risk for dry holes. And posting these risks through the business and management plan that we have everyday and our activities planned for every year, what I said was that it cannot be a surprise. You have a success rate. However, there is an outstanding success rate, but we have higher cost for wells, because our situation is much more severe than in previous years. More deepwater, more – the cost of the wells is higher for many different reasons. So the exploratory policy defines our actions and it establishes the parameters for our actions and defined in the business plan, which is a level of risk that can take in cost with the write-off of dry holes as of this year 2012. We are already mitigating the impact of dry holes in 2012 and also 2013. In spite of that, we still have around R$6 billion in dry holes written off for 2013, okay.
Paula Kovarsky – Itaú – BBA: Okay. Thank you very much.
Operator: Now, I will give the microphone to Fern Valle if he wishes to make any additional remarks about the dry holes. Otherwise he is going to answer your first question only about the dry holes.
Fernando Valle - Citigroup: It is okay. Regarding your previous question, I repeat that in terms of reservoirs, the decline and the potential of the Campos Basin, especially the Campos Basin continues between 10% and 11%. This is a process that we control very strictly by means of treating of supplementary wells and by means of water injection and we have been able to maintain this at estimated levels in relation to efficiency. As you can see on the slide, it is lower than 70% in the first half and we started a recovery curve reaching in December 7% to 8% in our estimate for 2013. In all assets of the Campos Basin, 76% estimate and we will not let it drop to the legendary levels. Regarding the R$831 investment, this is not investment, this is expenditure. So beside the expenses, you have all the operational cost for the production of oil and this is the global figure of all the money that we have to put either in investments or [pressure due to] operating costs. In the return, we have these R$119 million and the account is carried out exactly in the same way of any other project. So we have the internal rate of return here because the return is much faster in time terms than if you make an investment in the new area, may be the volumes are lower as you said yourself. However, on the other hand, the internal rate of return is much faster and what we need right now is to have a quick return and revenue stream to the company so that we may have the adequate planning and our EBITDA planning so that we may have cash generation together with the funding that we have. We are able to implement our CapEx program. So this is our total target. So it has to be supported by the CapEx generated by our revenues.
Fernando Valle – Citigroup: So the 831 is a combination between CapEx and OpEx?
Unidentified Company Representative : Yes. You see that when we started, we already said that we would have investments and operating costs. You see 4.1 of operating cost and investments. I really don’t remember it. Out of – these two things are combined. So you cannot analyze considering that. You have to consider that you have the operating cost.
Fernando Valle – Citigroup: Thank you.
Operator: Mr. Emerson Leite from Credit Suisse has a question.
Emerson Leite – Credit Suisse First Boston: Good morning everyone. This is Emerson Leite, in fact. Two questions; going back to the issue of dividends, I do agree that the dividend payout policy is in your bylaws, but over the 13 years since 1999, the company has always shown the market that they would deal shareholders with shareholders in similar ways in distribution of dividend. And if we consider some other additions of your general business line, we will see in some slides that you mentioned equal payment of dividends to the two classes of actions. Of course, the company can do whatever it wishes. But I have the sensation that it gives a very bad message to common stockholders when they see this because in capitalization, you pay the higher price for the stock and now you see dividends being paid out by a half of what preferred shares get. It seems to me that it is some steps going backwards in terms of government and the treatment to shareholders in a fair manner. So this is what I would like to say and hear what you have to say about that. And the second question has to do with imports of oil products. Could you please clarify the accounting methods for imports from the physical viewpoint and from the financial viewpoint? It is not very clear to us if all the volume that is exported is being posted in the period or if you have volumes that were imported, but the expenses will be recognized in the subsequent quarter. So could you give us details about how you have an accounting for expenses with imports? I think that would be very useful. Thank you very much.
Almir Guilherme Barbassa: Emerson, this is Almir. The issue of dividends as you said yourself has always been placed as a possibility and the possibility was exercised this year and for a very good reason, due to cash reasons. And because we wish to preserve our cash and this was the reason why – and to say that, we would always be like that while it is not in our policy and it is not our policy. We have always stressed the difference between the two. So this is not a possibility. Whenever possible, of course the best alternative is to pay the same dividends to both classes. However, the conditions right now require the decision that we have to make.
Emerson Leite – Credit Suisse First Boston: Just one remark; I’m sorry, I apologize for interrupting. I do understand what you are saying. However, I believe that investors in your common stock will have a very good argument which is the difference in the payment or the dividend pay amount would be R$3.5 million more or less. So you do have cash for an investment plan for 2013 and you don’t have R$ 3 billion to pay equal dividends? So I think this is the rationale that is reflected in the pricing of your common stock in the market.
Almir Guilherme Barbassa: Emerson, the issue of the R$97 billion of CapEx for this year that you referred to was explained by our CEO. And this refers to the continuation of our projects that we have underway and that we are implementing. So stopping this would mean a higher loss to the company in our opinion. So we chose to continue our investments and without adding new projects and this represents a difference regarding CapEx when you compare it to the past because in the past you saw an increase year-on-year. And in this way, we are making the necessary adjustments wherever we can make adjustments. So the interruption of project and the way would mean a higher loss to everybody.
Guido Mantega: This is Guido. I would like to – we would like to make an additional remark. You talk about the 3 billion that would be necessary to pay equal dividends. If we take these 3 billion and we make little more than one additional platform, let’s say, we’ve returned to our shareholders a better return. So our total priority is focused on E&P and anything that we can transform into an increase in our oil production very quickly, this is what we are doing? Thank you [good afternoon] A question in English.
Emerson Leite – Credit Suisse First Boston: I would like to go back and say a few words about the import this is (inaudible) about the allocation of imports and exports and we use the accounting method. We export oil on our ships and they are only accounted for when they get to the destination port. On the other hand when we import with our ships, this is accounted for when this is loaded. This is both for oil and for oil products. Thank you.
Operator: We have a question in English. Mr. Frank McGann from Bank of America Merrill Lynch would like to ask a question.
Frank J. McGann – Bank of America Merrill Lynch: Hi, good day, everyone, thank you. Just to delve a little bit deeper into the balance sheet issue and the level of CapEx, the debt level of course, have gotten very high and generally the net debt-to-capital is rising very quickly to your limit of 35% and your EBITDA or net debt-to-EBITDA limit is already beyond the levels already beyond your limit, which would suggest that something has to be done? And I was wondering if you think that you would – it seems you don’t believe that you need to make CapEx adjustments, but how can you continue or what is the risk that if you continue to spend as you’re spending that your investment grade could potentially be effected? And the second question would be along with same lines, in order to perhaps improve the balance sheet, it doesn’t seem like you are making much progress in terms of asset sales, but is it possible of the asset sale program could be moved to more aggressively and potentially be expanded to today’s cash to invest in these higher return projects?
Guido Mantega: We are implementing the projects we have in our hands. And as well explained on the E&P during this year, you will have six new platforms change into production. And next year we are going to have a large number as well what will give us much higher cash flow than we are having at this moment.
Frank J. McGann – Bank of America Merrill Lynch: The rating agencies are supportive of that. There is no risk of possible move by some of the rating agencies?
Guido Mantega: The rating agent is we have our long-term view on the company. It’s not on that moment that we are leading now. And looking at years more long-term view, the company has a very good prospect exactly, because we have oil to produce and we are implementing our projects to reach the targets we have ahead of us. The target we have delivered and we are expecting to deliver in the near future is achievable at this point. And we reduce our biggest report is to deliver the staggered giving to the rating agents and to everyone of comfort that the company will be overcoming the current situation in a short period of time.
Frank J. McGann – Bank of America Merrill Lynch: Okay. And in terms of the asset sales, is it possible that program could be moved more quickly or expanded?
Unidentified Company Representative: Yeah, no not quickly. We would like to have had another answer from the potential buyers, okay. But we believe that is the second synergy of the year. We will conclude some important divestment’s near the second semester, okay. And but it’s important, so we have continually the divestment program of result in our countability. And there are other programs of the operational cost (inaudible) very, very important. We cannot open the possibility optimizing our cost to cut cost is important to remember. And we have also maybe other activities that need to be done together, because there are directly each of these important program. But offset that we have the reserves, we have the assets through to produce the oil. We have the knowledge. We’ll have the obligation to manage this company in order to prioritize the acceleration production area and to dedicate part of our budget to conclude our refinery that are now under construction. And with this view, we believe that they are the agents, the rating agents that they do not analyze point-by-point. They are not looking us. They won’t be appreciating our portfolio project, that’s the point. But we have been looking for more price in order to converge the international price in order to have better results in the future, that’s the point.
Frank J. McGann – Bank of America Merrill Lynch: Okay. Thank you very much.
Operator: Another question in English. Mr. John Herrlin from Societe Generale. Ask the question.
John Herrlin – Societe Generale: Yes, hi, two quick ones; with respect to the asset sales, do you have data rooms open, or are you just addressing you’re working floor partners? And the next question is on (inaudible) when do you expect that to absolutely running again?
Unidentified Company Representative: We have already maintained a road show for Europe, we will be viewed in he U.S. business and the data room will be opened by next year in Brazil. So these are one executive according to the schedule.
John Herrlin – Societe Generale: For all the areas, is anyone under international one, okay?
Maria das Gracas Silva Foster: So component, we’ll review that by the end of April, you will have voted also concluded considering the year assets and the growth of Mexico assets, okay.
John Herrlin – Societe Generale: Thank you.
Operator: Next, we’ll go to Mr. Gustavo Gattass from BTG Pactual has a question.
Gustavo Gattass – BTG Pactual: Good ,morning everyone. I had two questions; one is very simple and straightforward to Barbassa and another more complex to good assets. Barbassa, I would like to know from the dividend viewpoint that your understanding is that the minimum dividend to be paid to voting stock is 25% of the earnings per share for the year and not 25% of the total value that would be split between the two classes of stock, anyway this is the simple question. And the second one is to Gracas. I need additional help, I don’t know whether I’m doing something that doesn’t really get to the right result, is there a variable that I don’t see, but we saw a 6% this point increase in your leverage, a big increase in net-debt-to-EBITDA ratio and if I consider simply the R$18 billion growth in your debt, and if you increase your production by 500,000 barrels, I don’t get a coverage of three times debt-to-EBITDA, I mean debt cash. Is there something that escapes me, because you mentioned the sale of assets is there a part of the story you’re working on, or is there a sense of urgency to try and accelerate the problem of your leverage. So what is your frame of mind regarding that?
Unidentified Company Representative: Of course, you don’t have all the information that we have, but I can guarantee to you that there is no miracle involved. You see what exits, it is the same that I see that I manage here, and ought to be the year of 2013 is the tough one. And when we consider the indicator net-debt-to-EBITDA-ratio you can see that this is the tough year in this regard, and we are certain that we have on our table, very important, they present management instruments and action instruments for us to act with the market and also with our controlling shareholders, so we have the cost reduction program, a very strong one in the company. We have a recovery of efficiency program advancement program in order to open a new project in infrastructure you have to select the area and the people and only afterwards you think about it when you can. And also the need to conclude all these resources that we will have and exactly the assets that are being built, so the confirmation of our reserves be potential that we have ahead of us. This is not without fundament, we know exactly what we are talking about maybe you do not have the whole rationale, because you are not with us, you’re not inside the company, you’re very close to us, which you’re not inside the company. So all this are rate of factors need us to believe that we will be overcoming this very tough year of 2013 and improved the net-debt-EBITDA-ratio, there is no matter involved. We have a very strong management of our different segments and this changes the routine of the company of course, but it has to be changed. We have the right people in the right place. We have the reserves and we the platforms. We have all the rigs that are already here. So we have to lead this year of 2013 behind and we have the problem coordinators and we said, well, this year it’s going to be much more difficult than 2012, but we are better prepared. So this is the point. I have nothing to add to what I have already told you, I’m not hiding anything, I have no good surprises to tell you about. We just have to work, we’re very hard and seek price convergence, try and seek efficiency, and try and seek productivity. We have the best people I could ever have not only in our executive committee, but also in our team. So the rating agencies are looking at that according to what they must do and rating this arsenal of product and people that we have in the company and that will lead us through this year of 2013 and we showed this very clearly, and we just need some more time to talk to all of you. I would like to do some follow-up, your sensation is that the rating agencies do not have the sense of urgency, they are really accepting to just wait and see. No, we do not believe there is the sense of urgency. In the company, we do have the sense of urgency. We know that these problem have to tackle urgency and we work with the sense of urgency, nonstop. We had three price increases of our fuels that didn’t reach the level that would bridge the gap of the evaluation of reals, because it was 17% higher for us in reals referring to the brunt. And so all this played against us, of course all this evaluation of the reals and as well as we do about our debt 80% practically is dollar denominated it. And we know that we have to solve this evaluation and we’re not sitting and relaxing. We are putting the sense of urgency in everything that we do and we are permanently concerned with that and focused on that and doing whatever we can. However, on the other hand, we are very comfortable knowing that we can implement whatever it has to be implemented and we have to very cautious in this regard and we are doing this with a lot of dedication and of this endeavors who saw who. Thank you for the easy question as you say. In the case of dividend, the slide that we showed can show you that 25% would be separated from the adjusted net income – will be second from the adjusted net income. 2% to this year’s shareholders be deducted from this amount separately and the remainder for the common stock shareholders, and this what we are practicing. What we are practicing is 25% as a minimum for both classes of shares and in the case of the preferred shares. The 3% are higher than that, and we are increasing the amount to be paid out. We are not limiting ourselves to 25% of the total adjusted net income, okay. So this is the explanation. Thank you very much, bye-bye.
Operator: Thank you. We would now close our Q&A session of Petrobras webcast. I would like to ask Mrs. Maria das Gracas Silva Foster, our CEO for her final remarks. You may proceed.
Maria das Gracas Silva Foster: Thank you so much. I would like to thank you ladies and gentlemen for your attention, you’re being with us for almost two hours, now and this particular moment and which the company find itself leads us to understand that must to come ever closer to our analysts and investors. So that you can become more familiar with everything that we are doing and what we have achieved? What we have drawn up for this years 2012, 2013 and 2014? What we are doing? What we have done? And what we are trying and managed to produce? It’s very important because the results, which coming to the market are many numbers and information and a lot of the potential results, which will come around in two or three months or two or three years or whatever. Sometimes not visible to you all, so I’m sure that Barbassa has coming closer to you. But in 2012 devoted my time to the company and I did very well and very much, I haven’t been very close to analysts till this year of 2013, I want to spend more time with you. I will be helping Barbassa and give you a much more material vision of the company to discuss the difficulties with you and ask all the officers who are also in most in their project and that they may follow closely their work, but also give up sometime and to come closer to you. So I’d like to come in to our company, our company with a great and future, which is very close to happen. So thank you very much for being with us.
Operator: Thank you. Ladies and gentlemen, the replay and presentation will be available on the company’s website on www.petrobras.com.br/ir. With this, we conclude our webcast today. Thank you so much for your participation. Please disconnect your line and have a good day.